Operator: Welcome to Marsh & McLennan Companies conference call. Today's call is being recorded. Fourth quarter and Full Year 2013 financial results and supplemental information were issued earlier this morning. They are available on the company's website at www.mmc.com. Before we begin I would like to remind you that remarks made today may include statements relating to future events or results, which are forward-looking statements as that term is defined in the Private Securities Litigation Reform Act of 1995. Forward-looking statements are subject to inherent risk and uncertainties, and a variety of factors may cause actual results to differ materially from those contemplated by the forward-looking statements. Please refer to the company's most recent SEC filings, which are available on the MMC website for additional information on factors that could cause actual results to differ materially from those expressed or implied in any forward-looking statements made today. I'll now turn the call over to Dan Glaser, President and CEO of Marsh & McLennan Companies.
Daniel S. Glaser : Thanks Sherry and good morning, and thank you for joining us to discuss our fourth quarter and full year results reported earlier today. I'm Dan Glaser, President and CEO of MMC. Joining me on the call today is Mike Bischoff, our CFO. I'd also like to welcome our operating companies' CEOs: Peter Zaffino of Marsh; Alex Moczarski of Guy Carpenter; Julio Portalatin of Mercer; and Scott McDonald, who was named CEO of Oliver Wyman Group on January 1st. Scott succeeds John Drzik who has moved to Marsh to become President of Global Risks and Specialties, overseeing Marsh's Global Industries and practices, analytics and technologies in the Insurer Consulting Group. John has also been named Chairman of the newly formed MMC Global Risk Center where he will strengthen collaboration on risk issues across the firm. This exemplifies the depth of our senior management team and our successful efforts to move talent throughout the organization. Also with us this morning is Keith Walsh, Head of Investor Relations. I am very pleased with our fourth quarter results, which capped an excellent year for MMC. Underlying revenue growth was 4%, exceeding the increase in underlying operating expenses, as it has for 22 of the past 23 quarters, a record that stands out in the industry. Our consolidated adjusted margin rose 130 basis points to 16.3%, our highest fourth quarter margin in a decade. In the Risk and Insurance Services segment, adjusted operating income grew 9% and the margin expanded 80 basis points to 20%. Marsh had strong underlying revenue growth of 4% in the quarter, the international operations rose 4% and the U.S. Canada division grew 3%. Guy Carpenter generated underlying revenue growth of 6% its best performance in 2013. In the Consulting segment adjusted operating income grew 16% and the margin expanded 160 basis points to 14.9%. Mercer grew underlying revenue 4% for the third consecutive quarter driven by outstanding results in health and investments. Oliver Wyman’s 5% increase in underlying revenue was its strongest performance in the past six quarters, reflecting significant growth in financial services. For the year we delivered underlying revenue growth of 3% while managing underlying adjusted expense growth to 1%. This produced strong operating leverage with 14% growth in adjusted operating income and an increase in the adjusted operating margin of 180 basis points to 17.4%. Adjusted EPS increased 15%. In 2013 each of our segments produced double-digit growth in adjusted operating income. Notably this was the fourth quarter consecutive year of double-digit growth in adjusted operating income and margin expansion in both segments. In recent years we've made tremendous progress in improving productivity, capturing efficiencies and reducing risk. This progress was driven in part by investments in our businesses. One indicator of our level of investment is capital expenditures which has increased over 40% from two years ago. We are well positioned to deliver on our long-term goal of 13% annual EPS growth. In Risk and Insurance Services revenue for 2013 was $6.6 billion with underlying revenue growth of 3% at Marsh and 5% at Guy Carpenter. Adjusted operating income increased 11% to $1.5 billion. This represents the sixth consecutive year of double-digit growth in adjusted operating income. The adjusted margin rose 150 basis points to 22.1%, the highest in a decade. To put the outstanding long term performance of this segment into perspective, since 2007 adjusted operating income has more than tripled and the adjusted margin has expanded by more than 1,300 basis points. At Marsh revenue was $5.4 billion in 2013 as all major geographic regions contributed to underlying revenue growth of 3%. In the U.S. Canada division underlying growth was 2%. The international division expanded 4% as solid underlying revenue growth continue throughout Marsh's vast international footprint. Marsh continued to produce strong levels off new business with $1.1 billion for the year a new annual record. Last week Marsh & McLennan Agency announced the acquisition of San Diego based Barney & Barney, the country's 34th largest insurance brokerage firm with 100 million of annual revenue, 500 employees, strong leadership and an outstanding record of growth. Barney & Barney will be MMA's Western regional hub. Marsh has also continued to expand its international footprint. Recent acquisitions include the leading insurance advisors in Peru, the Dominican Republic and most recently in Scotland where Marsh acquired Central Insurance Services. Guy Carpenter produced record revenue of $1.1 billion in 2013, an increase of 5% on an underlying basis. Three quarters of this growth came from outside of Guy Carpenter's 25 largest clients reflecting our strategy to broaden relationships by customer size and geography. Revenue growth was broad-based across North America, international, global specialties and UK Facultative. Guy Carpenter has grown organically for 20 straight quarters with average annual underlying revenue growth of 5%. As a result of building headwinds, including record levels of capacity, higher risk retentions by clients and significant rate reductions seen in January we currently expect modest underlying revenue growth at Guy Carpenter in 2014. In 2013 the Consulting segment continue to make substantial progress to increase profitability. Revenue was $5.7 billion, up 2% on an underlying basis. Focused expense management held underlying adjusted expenses flat, producing adjusted operating income of $847 million, an increase of 100 million or 13% from the prior year, and the segment’s margin increased 160 basis points to 14.9%. Mercer had solid underlying revenue growth, fueling record profitability. Revenue was $4.2 billion, an underlying increase of 4% for the third consecutive year. This was driven by health and investments, which led the way with increases of 6% and 9% respectively. Growth was spread across all geographic reasons. We have experienced success in the U.S. healthcare exchange space with the launch of Mercer marketplace which just last month became a standalone division within Mercer. Mercer marketplace has delivered a differentiated platform to both middle market and large clients. Oliver Wyman’s underlying revenue growth steadily improved throughout the year culminating with strong fourth quarter growth of 5%. For the year revenue was $1.5 billion, a modest decrease from 2012 as solid growth in financial services, Lippincott, NERA and the international regions was offset by declines in other practices. In summary, MMC’s excellent performance in the fourth quarter and full year represents the continuation of our strong earnings momentum. We are especially proud of our record of generating consistent earnings growth. Adjusted EPS rose 13% in 2011, 16% in 2012 and 15% this past year and over the three year period the adjusted operating margin improved 330 basis points. We are well positioned to deliver on our long term goals, which should lead to superior returns for our shareholders. With that let me turn it over to Mike.
J. Michael Bischoff: Thank you, Dan and good morning everyone. In the fourth quarter, MMC's revenue was $3.1 billion, an increase of 4% on an underlying basis. Adjusted operating income rose 13%. The consolidated margin increased 130 basis points to 16.3%, and adjusted EPS grew to $0.57 from $0.52 in the prior year. Both GAAP and adjusted EPS included $24 million of expense or $0.03 per share due to the early extinguishment of debt. Full year result, MMC's revenue rose 3% on an underlying basis to a record $12.3 billion. Adjusted operating income grew 14%, with the margin increasing 180 basis points from 15.6% to 17.4%. GAAP EPS increased 14% and adjusted EPS grew 15%. Investment income was $11 million in the fourth quarter. While difficult to forecast we anticipate investment income could approach $10 million in the first quarter. MMC's tax rate for the year was 30% on both the GAAP and adjusted basis, which is also appropriate to use for modeling purposes this year. Interest expense in the fourth quarter decreased to $43 million which reflects the debt funding that occurred last fall. Most likely we will utilize the commercial paper market this quarter for the first time since 2007 and as we approach the July $320 million debt maturity we will refine our thinking concerning the amount and term of the refinancing. Now let’s turn to MMC pension plans. We would like to update you on the funded status, cash contributions, changes to our U.K. pension plans and pension expense for the year. At the end of 2012 on a GAAP basis the net funded status of our global defined benefit plans was a deficit of $1.5 billion. At the end of 2013 this has moved to a surplus of approximately $100 million. The significant improvement was due to strong market returns, cash contributions and an increase in the discount rate of 85 basis points in the U.S. Last year we made total cash contributions to our defined benefit plans of $650 million. The anticipated funding this year is approximately $200 million. Changes to our UK pension plans; after an in-depth review UK retirement plans we are implementing a new defined contribution plan effective in August. We're moving from several diverse plans to one unified competitive easy offering for all UK colleagues. We anticipate very modest impact on profitability from this change. Based upon the year-end measurement which takes into account such factors as the discount rate, asset returns, mortality, inflation, salary increases and cash contributions, annual pension expense will decrease in 2014 for the first time since 2008. We anticipate the year-over-year decline in pension expense, net of compensation considerations will be approximately $0.10 per share. The impact of foreign exchange on MMC's operations throughout the year could partially offset this benefit. If exchange rates at the end of January hold for the remainder of the year EPS will be reduced by $0.05 per share. Less than half of this relates to our four major currencies Sterling, euro, Canadian dollar and Australian dollar. Unlike prior years the currency impact from emerging markets could be meaningful. We expect minimal impact in the first quarter from the foreign exchange with the greatest impact coming in the second quarter. In summary we believe the net result of the pension benefit and the FX impact could increase EPS by $0.05 this year. Moving on to cash; cash on the balance sheet at year-end was $2.3 billion of which $940 million was in the United States. These cash levels anticipate payments for variable compensation, several recent acquisitions, the largest being Barney & Barney and returning capital to shareholders. Our cash utilization in the fourth quarter included a $139 million for dividends and a $150 million to repurchase 3.2 million shares marking seven consecutive quarters of share buybacks. For the year we bought back 13.2 million shares for $550 million. We plan to continue our share repurchase program in the first quarter. With that I'm happy to turn it back to Dan. 
Daniel S. Glaser : Thank you, Mike. And operator, we are ready to begin Q&A. 
Operator: (Operator Instructions). We'll have our first question from Gregory Locraft with Morgan Stanley. 
Gregory Locraft - Morgan Stanley & Co.: Hi, good morning guys. Great quarter and great year, congratulations. 
Daniel S. Glaser : Thanks a lot, Greg.
Gregory Locraft - Morgan Stanley & Co.: Wanted to ask a bit about the organic growth, specifically in Guy Carpenter, I mean it was the best quarter of the year and your competitors are in some way showing the same not quite as strong but still decent growth also. What's the disconnect between the top line performance in global reinsurance brokerage and the pricing declines that seem so widespread across the reinsurance marketplace? And if you could tie that to why you think you will be able to grow that business this year as you stated in your outlook that would be great. 
Daniel S. Glaser : That's great. It is Dan; I'll take the first part of that and then hand over to Alex to give a bit more detail. Let's say a few things, you have to really to really look at what has happened in reinsurance brokerage and advisory over the last number of years, five, six year period. There has been very few players who have been able to build out very strong advisory capabilities. And so it's not just the reinsurance transaction that drives results any more. In many ways Guy Carpenter is far closer to their client, their client base than any other advisor with those clients. And so the [inaudible] of reinsurance companies come to rely very heavily on the advice and capabilities, analytic capabilities, relationship of Guy Carpenter. So it's a more balanced organization than it was in the past. Having said that, obviously rating levels have an impact because they do participate in transactions but it maybe more muted than it had been, five or ten years ago, but Alex, you want to give us some more detail.
Alexander S. Moczarski : Yes, sure, the fourth quarter was a great quarter for us. It’s not a very big cat's quarter. And it’s really in the cat space that prices have fallen so much. First quarter is quite a strong cat quarter for us. However, the reason why we believe it will grow is one, we have a very effective segmentation strategy which has allowed us to increase our penetration in mutual market, the excess and surplus markets, our international footprints continue to grow. So we feel good that we can encapsulate some growth in this year.
Daniel S. Glaser : And one thing I would just like to say is that because January 1 is a big date and it’s a big transactional date when we’re looking at Guy Carpenter for the year we are expecting to see modest growth and are not quite sure what we will see in the first quarter. So we’re really looking at GC over the course of the year rather than in one individual quarter.
Gregory Locraft - Morgan Stanley & Co.: Okay, okay great and then shifting gears entirely towards the capital deployment, you guys bought back a lot of stock on the year at least you bought back more than you have in many years. Yet, the share count still is not yet going down. When do you expect the impact of the more aggressive share repo to impact the share count?
Daniel S. Glaser : Okay, first of all I am glad you noticed that we have been buying back more shares because that is certainly something that we are committed to and being really a consistent buyer of our own company shares is something that this management team is very interested in. Your specific question in terms of share count and vending that share count is important to us as well, and Mike, you want to give us more flavor.
J. Michael Bischoff: Yeah, I’d be more than happy to and thanks for the question, Greg, and I apologize it is going to be a little bit more detailed but I think you need to have color in how we look at it. As I talked on the third quarter call, if you go back to the end of ‘09 the overhang on potential shares outstanding because of colleague equity grants in previous years was about 69 million shares that included stocks options and restricted stock units of various kinds. If you look at what that overhang has worked its way down to by at the end of this year it was actually 26.8 million shares. So what that meant, Greg, is that in the last few years we have seen a significant amount of stock options exercised from prior years is probably close to 13.5 million total shares, including restricted stock grants in 2012 and about 14.5 million in 2013. So if you do the math if 14.5 million shares were required for this overhang to work down in 2013 and we repurchased 13.2 million shares the actual net change was 1.2 million. So now to go to the heart of your question, with that history and backdrop we think that the overhang has been significantly worked down. We can never totally know what the amount of stock options exercised would be in any given year. But in aggregate we are modeling for 2014 and most likely 2015 only half the levels that we saw in 2012 and 2013. So as Dan and I have indicated we plan to continue our share repurchases program. It’s the balance with regard to other return of capital to shareholders, acquisition, investing in the business that we think we will start to bend that curve down this year.
Gregory Locraft - Morgan Stanley & Co.: Thank you. Great…
J. Michael Bischoff: Sorry, you have something else, Greg?
Gregory Locraft - Morgan Stanley & Co.: Well, if I may just to clarify, Mike it was incredibly detailed, just roughly half of what you’ve seen in terms of the exercises, that's roughly 7 million you just bought back 13 million shares. So we should be seeing I’m just giving you the math back, you know, five plus million decrease in share count all else being equal, if you were to do the same exact buyback activity this year as before, is that what you said?
J. Michael Bischoff: That’s what I said but all else is equal the average stock price we would hope goes up this year but we can’t control that factor.
Gregory Locraft - Morgan Stanley & Co.: That’s perfect, great, thanks for the clarity.
J. Michael Bischoff: Plus I imagine that sometime in next month some of our colleagues will be expecting to receive some more shares. But fortunately we took that into account. 
Gregory Locraft - Morgan Stanley & Co.: Great year, guys thanks. 
J. Michael Bischoff: Thank you, Greg. 
Daniel S. Glaser : Next question please. 
Operator: Larry Greenberg, Janney Capital.
Larry Greenberg - Janney Montgomery Scott LLC: Hi, Mike, just a little bit on the pension. I mean is there a big difference on the impact of financial markets on the U.S. versus the UK and is there some negotiating or messaging that goes on, on the UK side of things? And then secondly, just looking for little bit of an update on Marsh Agency and where things stand there?
Daniel S. Glaser : Okay. So Mike will handle first part of that question and we'll pass over to Peter Zaffino who will give us some more color around MMA, the Marsh McLennan agency. So Mike, pension.
J. Michael Bischoff: Thank you, Dan, Larry and let me to talk to the point Larry and if I don't specifically address your question please come back to me before we go to agencies, but if you look at our global plans there at the end of 2013 there were about $13.6 billion of assets and as I indicated about $13.5 billion of liabilities which puts us on a global basis a net surplus of $100 million. If you look at the size of respective major geographies the UK is our largest plan very over funded and assets about $7.7 billion and liabilities on a GAAP basis about $6.8 billion. The next question, the U.S. I think with regard to the mix of the assets that are allocated for the portfolios roughly in the U.S. and the UK and we've disclosed that in the 10-K but the UK is a little bit more geared towards bonds. I think it's 50% of what they call return seeking assets, heavily geared towards equities and 50% bonds. So the rate of return on those assets is typically a little bit lower than in the U.S.
Larry Greenberg - Janney Montgomery Scott LLC: Okay. Thanks.
Daniel S. Glaser : And just I hand over to Peter, so couple of things just around our pension, your comment about negotiations or in the UK it's probably just in the context of UK has a different format where large companies have trustees. And so Mike and his team do work with the trustees to essentially plan for fulfillment of our obligations under the pension plans in the UK and the UK trustees have their own specific responsibilities with regard to being a guardian of the UK pension plans. 
Larry Greenberg - Janney Montgomery Scott LLC: So is it fair to say that in the UK it's not driven quite as much by the numbers that we tend to focus on here in the U.S.?
Daniel S. Glaser : I think in the UK certainly the same sorts of issues, in terms of what's the discount rate, what's the market return, what's the return on planned assets, what is the allocation between different categories of asset classes, mortality are all similar factors. The one difference is in the UK there is an independent group of trustees who take their own view and have their own advice in terms of what all of those variables mean and taken together. UK also has different types of rules and regulations and a different measurement system where we clearly as a company look at our plans on a GAAP basis, around the world where we have DB plans. And in the UK they look not only at a GAAP basis but also on a what they call technical provision basis. 
J. Michael Bischoff: So Dan let me just add one other thing is Larry as you can see it's extremely complex looking at the plans not only in the U.S. and the UK but I have to say we have fantastic advisors, teams on both sides of the Atlantic working with this literally almost on a daily basis and I am pleased to report these teams are part of Mercer. 
Daniel S. Glaser : Okay turning to the agency I would just like to start by saying now this has been a consistent strategy over really a five year period that we started truly executing about four years ago. So we will ultimately really reap the benefit of the agency strategy and I just think hats off to Peter and his team because the reality is in the early stages as we build out platform hub, and because we eat all of the deal cost and amortization and all of that it actually hurts Marsh’s overall NOI and the segment NOI on a margin basis. Clearly someday when we reduce the level of amortization, which is still some years off then it will be a big help forever more, but this is a clear strategy that the management team has been executing for a number of years and so, Peter?
Peter Zaffino: Thanks Dan and as you said it’s been a journey. We have acquired 35 agencies since 2009 and our annualized revenue is approaching approximately $600 million. As Dan had mentioned in his opening comments we’re really excited about the acquisition of Barney & Barney which is going to be MMA’s western region hub, so we have a much more of a balanced national platform now. We also made two other acquisitions in January so the momentum is quite strong. Very pleased with the organic growth, certainly in line of what our expectations are, in line with other middle market brokers within the U.S. and believe that we’re building a platform that is going to be the premier agency in the United States over time. So we’re going to stick to the strategy of attracting high quality agencies and believe that the pipeline is strong and very optimistic of the future. 
Larry Greenberg - Janney Montgomery Scott LLC: Do you have all your hubs in place now?
Peter Zaffino: We don't have, Larry a prescription of how many hubs we want for the national platform. I would expect us to do a couple of other acquisitions for hubs but again our geographical footprint is getting to be quite strong. So the geographic areas where we want to expand is really in a couple parts of the U.S. So I think we will do couple more hubs but again no rush. 
Daniel S. Glaser : And the watch word for this is not really geography it's quality, so where there are quality agencies in the United States regardless of size we are interested in acquiring quality.
Larry Greenberg - Janney Montgomery Scott LLC: Great, thank you.
Daniel S. Glaser: Next question please.
Operator: Jay Gelb, Barclays.
Jay Gelb – Barclays Capital: Thank you. For the risk and insurance services segment you mentioned that Guy Carpenter growth could be somewhat slower but I am wondering if Marsh kind of continued to grow faster even though primary pricing, reinsurance pricing facing headwinds the economy is certainly recovering so does that net out to 3% or better going forward.
Daniel S. Glaser: Yeah when we are looking at the RIS segment in total we certainly we have been in a world of 3% to 5% over the last several years and we think we still live in that world, notwithstanding the headwind that Guy Carpenter is facing.
Jay Gelb – Barclays Capital: Thanks, Dan. And I believe in the past you said within that range RIS margin expansion?
Daniel S. Glaser: Yes, that's really right. 
Jay Gelb – Barclays Capital: Okay, can you give us a bit more color on the underlying expense growth? I think 1% underlying growth is a pretty impressive achievement. How are you able to keep it there and that 1% maybe for the overall company, right?
Daniel S. Glaser: Yeah the 1% is for the overall company. In the fourth quarter RIS grew expenses 3% and consulting grew expenses 2%, corporate was minus 4% in the quarter. When we look at it obviously there is a lot going on under the hood. So our level of expenses is benefited by prior year actions in terms of capturing efficiency and rolling forward actions that we have already done. The short answer is that we are spending a fair amount of money, not only on colleagues but on investing for future growth and on operational improvements. The good news is you know our search for efficiencies doesn't end. And each year we've been able to find significant areas in which we could improve the underlying performance of the company and it actually maxed our overall level of expense growth because generally when we are finding those efficiencies we are letting them roll through. To give you a couple of ideas we significantly reduced our real estate footprint over the past five years and we used stakes a lot better than we ever had before. Another item is that we've increased the headcount in our own service center in India by over 600 people since January of 2011. We've centralized procurement which obviously influences demand management but also gives us spend leverage. So I could go on and on there are literally dozens of items that we've done to attack all other operating expenses. And all you have to do is look at our compensation and benefits which is the leading driver of expense and our comp and ben as a percentage of revenue we finished the year at 58.8% which is stable to what it has been in the past. And so we're letting comp and ben flow through our colleagues and within our improvements in profitability I am very proud of the fact that we've had five consecutive years of increases to the total bonus pool. 
J. Michael Bischoff: So let me just add to what Dan said you can see that we're putting a lot of investments in the business, we are putting a lot of CapEx, we're putting a lot of money in analytics. But the other side of that is that we've a goal as a management team to make MMC a great place to work. And so as a result of that we are not going to get the profit improvement on the backs of our colleagues. As Dan said compensation is a great degree year-after-year-after-year. We're looking at other things that can make the environment more attractive for our colleagues. Even in the space reduction on real estate that Dan alluded to our global real estate teams say it's not just an issue of densification because you can fit more people into square footage business but you end up with a not as hospitable work environment. So we've adopted a smart office concept where we look at the needs and motivational surveys with regard to our staff to make the environment that they work in much more conducive to their life styles and work styles. So overall it's a combination of not only investing in the business but making MMC a great place for our colleagues as well. 
Jay Gelb – Barclays Capital: I see okay. And then just switching gears, health exchange revenues for contracts signed this year all come in 2014, correct? 
Daniel S. Glaser : Julio?
Julio A. Portalatin: They will come on as the continuation of payments come on. So we recognize it throughout the year with no big bubble effect in any one quarter. 
Jay Gelb – Barclays Capital: Okay. But that would all be organic growth additionally in 2014, correct?
Julio A. Portalatin: Well, keeping in mind that we have sold to clients that were both with us or with Mercer and we sold to some clients that are new to Mercer. All those clients that we've sold that were already HMB clients and Mercer clients, we do have an expansion average revenue because we are selling voluntary and ancillary products, so we do get that uplift. And then those are new-new of course you get back. So it's not all new-new coming into Mercer. 
Jay Gelb – Barclays Capital: Thank you. 
Daniel S. Glaser : Okay. Next question, please. 
Operator: Meyer Shields, KBW. 
Meyer Shields - KBW: Thanks, good morning. 
Daniel S. Glaser : Hi, good morning, Meyer. 
Meyer Shields - KBW: I guess I keep on hearing these reports of slowing economic growth in some emerging markets. Is that something that could temper organic growth in Asia-Pacific and Latin America next year?
Daniel S. Glaser : Well, we read the same reports and clearly there is issues in the emerging markets you really have to look at country by country. It's not that the emerging market is some monolithic area that all has the same characteristics. In certain of the countries the issues are regulatory or anti-business practices, in other countries there is this political elections. I think in a number of countries in the emerging world there are elections within the next 12 months and that has created some level of activity and commentary. Clearly when we look at our businesses the emerging market is very important to us in all four of our OpCos but no more so than in Marsh and Mercer. Having said that if you look at just the size of our company and where we get our revenue from, tell me how we're doing in the U.S. and the UK, Australia, Canada, Germany and France and I put those countries together and I'll tell you how we did as a firm. And so the emerging market it is largely can be additive to us. The great thing about the emerging market is that you get not only the activity in the marketplace from a exposure growth standpoint, there's some mild level in certain of the countries and higher than mild in other countries of inflation. And so you get the benefits of GDP growth albeit that GDP growth in certain places may be slowing. But you also get the benefit of increased penetration, not only of insurance but also for advisory services, that impacts Oliver Wyman and Mercer and Guy Carpenter as well. And so when we look at the emerging market it can clearly have an impact on us from a growth standpoint but we're not overly concerned with it. We have been able to grow through good times and bad in our footprint around the world. There is a lot less competition in some of the countries in terms of having the capability that a company like Marsh & McLennan has in some parts of the emerging world. And so there is a series of puts and takes but overall we're not overly concerned. Mike brought out in his commentary earlier how for the first time in a real long time the emerging market's weakness against the dollar could have an impact on us this year. So thankfully we've got some tailwinds on pension that will offset that potential weakness in foreign exchange. 
Meyer Shields - KBW: Okay. Thank you, that's very helpful. And if I can change topic briefly, if I look anecdotally at the deals announced by some of the acquisitive brokers in established markets, there seemed to be may be an above average number of brokerages the size of Barney & Barney that are for sale. Is that a legitimate observation and is that likely to benefit MMA as an acquirer of hubs or may be additional hubs in current areas? 
Daniel S. Glaser : I'll take that initially and then I'll hand over to Peter to give some more comments. If you look at all of the major brokers really there are products of acquisitions over a long period of time and certainly when you look at Marsh & McLennan Company, all the way back to Henry Marsh and Donald McLennan who came together and formed Marsh & McLennan we have proven to be a very good acquirer over a long period of time. And there is periods of time either through concerns about regulation path, compliance et cetera and there also generational periods of time where certain agencies come up in different parts of the world. I think clearly what we have done is built the company not a franchise but a company in Marsh & McLennan Company which is attractive as a buyer. And so we don't jump into processes and buy something we cultivate relationships over the long periods of times and when we look at acquisitions whether it's in risk and return services segment or any other segment the first thing that we're thinking about is how does it make us better, how does it give us capability that we don’t currently possess what does it give us in terms of either geography or segment that we don't currently have. And so that's our thought process and then after that it's very much in terms of -- their chemistry between the teams and is there a cultural fit. The terms and conditions are largely an after thought of when everything else slots into place. But Peter do you have any other views here? 
Peter Zaffino: That was very comprehensive and so I would just add that many of the acquisitions that we have made, the agencies have not been for sale. It's just really cultivating relationships over a period of time and making sure that they're aligned with the strategic intent of what we're trying to build. So I will keep that in mind. I mean our pipeline is strong as I mentioned before but as Dan mentioned it's really cultivating the relationships and we've been doing that over several years. So I haven't seen any more activity in terms of access for sale than we have over a period of time. I think we've been doing a much better job of proactively working with potential acquired assets and it has worked out quite well.
Meyer Shields - KBW: Okay, fantastic. That was very helpful.
Daniel S. Glaser: Thanks. Next question please.
Operator: Elyse Greenspan, Wells Fargo.
Elyse Greenspan – Wells Fargo Securities, LLC : Hi, good morning. I was hoping that we could talk more about what you guys are seeing in terms of the economic conditions within the U.S. in particular any changes with exposure changes and how that impacted the organic revenue growth that did pickup in the quarter? And also just in terms of what your expectations are for the U.S. in 2014 as well?
Daniel S. Glaser: Okay so I will take the first part of that and then I will hand off to Scott McDonald to just talk about macro issues little bit in the U.S. and even in other parts of the world, if we might expand that out. So economic conditions are clearly an impact because they drive exposure whether it’s in really in all four of our operating companies, you take Marsh clearly areas around construction or economic activity drive some of the values that are used as the exposure base. Payrolls could be rising, which certainly impacts workers comp as well as Mercer. So when we look at GDP overall we have been bouncing along the bottom and have been well we have been in a phase which we call the grinded out years which is essentially low levels of GDP growth in the developed world including the United States and a cautiousness around expansion that we believe in a lot of ways still exists and so clearly something that may have been a light headwind might be a light tailwind but it’s certainly not buoyant out there and there is still lot of concerns throughout the market and so an awful lot of companies have cash on the balance sheet which they are not putting to work. Having said all of that exposure units is just one of several factors that drive out our performance. I mean whether our revenue retention and account retention, very important, new business, as you mentioned GDP growth also interest rates also P&C types of pricing and so there is a number of factors that drive our performance and the exposure units are just one of them. Scott you want to give us a little bit more flavor from Oliver Wyman’s perspective?
Scott McDonald: Sure. Oliver Wyman tends to be or at least our pipeline tends to be a pretty good indicator of the economy and based on what we see across clients, across sectors and region what we are looking at for 2014 is continued growth and activity in the U.S. I think this is supported by the really strong bounce back we had in Q4 with our U.S. business and that was pretty consistent across industries. We see continued stabilization in Europe and as Dan highlighted earlier some increased volatility in developed markets, driven by a number of things, including the tapering uncertainties around Chinese growth and the many idiosyncratic things that Dan mentioned earlier. One point of caution on the U.S. that I'll mentioned is that much of the work we did in the second half of 2013, even as our business improved was driven by cost cutting, efficiency projects and restructuring rather than projects focused on growth initiatives and that suggests to us that many companies, particularly in the U.S. are still cautious going into 2014, they are still holding cash and we may not be in a booming period yet. 
Daniel S. Glaser: Thank you.
Elyse Greenspan – Wells Fargo Securities, LLC :  Okay, thank you, very helpful. And then just switching about to healthcare exchanges quickly following on the 2013 enrollment fee there how would you just kind of describe the growth structuring and any initial comments I guess pointing towards 2014 from some conversations that you might have already with either existing or potential new clients for your platform?
Daniel S. Glaser: Julio?
Julio A. Portalatin: I will take that. Thank you. You know our pace of sales continues giving -- and given our significant reach in both the mid-market and the large accounts we are seeing conversations beyond just traditional calendar year and that pace of conversations continues to increase. Since our last update as an example on client accounts and lives we have sold additional clients on the Mercer place. To give you an idea our last update I think was in our October call when we spoke about 220,000 lives. We are up to 270,000 lives now, that includes retirees as well as active across 64 companies. And we are pleased -- we are really pleased with the progress. I think you will see that -- that will continue to be the case, pipeline looks strong. We will continue to have good concentrated discussions as to timing with our clients. We want to make sure we balance that well to their needs and we are seeing some really good uplift. When everything is said and done we have always said and always been very clear that the impact on revenue in 2014 will be modest but over a long period of time we see this as being something that is going to really help and our ability to grow and to satisfy our client needs. 
Elyse Greenspan – Wells Fargo Securities, LLC : Okay. Thank you very much and congrats on a great quarter. 
Daniel S. Glaser: Thank you very much. Next question, please. 
Operator: Jay Cohen, Bank of America. 
Daniel S. Glaser: Okay.
Jay Adam Cohen – Bank of America Merrill Lynch: Yes, thank you. Good morning. 
Daniel S. Glaser: Good morning. 
Jay Adam Cohen – Bank of America Merrill Lynch: Couple of questions. Barney & Barney you talked about the revenue that they had. Is there any seasonality there as we model this, we assume that comes in fairly evenly over the course of the year?
Daniel S. Glaser: Okay. I am not much sure if we have that level of depth in that -- in this room on that. I mean we are talking about a $100 million as part of $12.3 billion, so I am not sure it would be that impactful either way but do you have any flavor. 
J. Michael Bischoff: I think it's fairly even but I'd like to caution that we haven't delved into the details of each quarter but I think it is -- there is no real seasonality from what we hear today. 
Daniel S. Glaser: And Marsh's quarterization is very interesting. You have got really three quarters which have about 26% in the third quarter which is their shortest quarter, is 23%. So it's really even throughout the whole year quarter-by-quarter except for the third quarter. 
Jay Adam Cohen – Bank of America Merrill Lynch: Right, okay. The other question was on corporate expenses, were kind of well below the run rate from the first three quarters of the year. Is this a new level that we should think about or should we think about more kind of full year numbers as we base -- as we look at 2014?
Daniel S. Glaser: Okay. Well it is true that for the year corporate expenses are 8% lower than the prior year. That was driven largely by efficiency and also because we eliminated the Group President position. Mike, you want to give that some more flavor? 
J. Michael Bischoff : And for very good reason. Yeah thanks, Dan, thank Jay. So corporate quarterly expenses Jay can move around quarter-to-quarter. So you are really asking what is an appropriate run rate for the year. I would take our corporate expenses overall not much differently in 2014 than 2013. So you could be looking at roughly $44 million to $45 million a quarter. I would say that's the part that you see, there is larger part on shared services that's allocated to the operating companies and speaking to what Dan alluded to earlier our drive for efficiency to continue to find ways to reduce cost, we will continue to do that. But with regard to corporate expenses in the neighborhood of a $175 million to $180 million for the year is probably good for modeling purposes. Thanks. 
Jay Adam Cohen – Bank of America Merrill Lynch: Great, thanks a lot. 
Daniel S. Glaser: Thanks. I think we have time for one or two more questions, so next question please operator. 
Operator: Brian Meredith, UBS.
Brian Meredith - UBS : Yeah, good morning. I'll be quick here. Mike I am wondering if you could just chat a little bit about cash usage as you look into 2014 particularly with savings from the pension. Should we expect an increase in CapEx that's going to go to share buyback, acquisitions kind of what is your thoughts there?
Daniel S. Glaser: Mike?
J. Michael Bischoff : Okay. Thank you, Dan. Thanks, Brian and good morning. So that -- upgrade because we are in a position of having an enormous amount of operating cash flow, lot of questions with regard to cash utilization, capital structure, where is this balanced and where do we seem to direct it and we really can't wait for you to have come and hear in more depth at Investor Day on March 11. How is that? 
Brian Meredith - UBS : Thanks. 
J. Michael Bischoff : All the secrets of the temple will be revealed on March 11. 
Brian Meredith - UBS : All right. The second question just quickly I am curious 
Brian Meredith - UBS: All right. We will be waiting. Second question just quickly I am curious you've kind of provided with your thoughts on commercial lines pricing on a global basis with some of your recent releases. Is it possible to kind of parse that out as far as what you are seeing at Marsh Agency versus kind of the global basis there is kind of different commercial lines of pricing dynamics going on in that business? 
Daniel S. Glaser: So we don't have Peter address that a bit and then if I move it over to Alexander Moczarski and he talk from a reinsurance perspective. And I only say that because after 30 years in the business often times what you see in reinsurance you end up seeing in the primary market within 12 months or so. And so Peter why don't we start with you? 
Peter Zaffino: Okay. As a macro overview we've seen slight headwinds in the international and modest benefit in the U.S. If you break that down into agency that would be consistent -- they've seen a modest tailwind. But one line of business that seems to still be receiving rate increase every quarter has been worker's compensation. So that is the one that has the same result. So and then some segments within professional liabilities. So agency had a mild benefit in the quarter and in the year. 
Brian Meredith - UBS: Okay. Thanks. 
Alexander S. Moczarski : Okay. So probably we've been talking about capital coming into the cash base, so $40 billion that are either tied back to your pension capital, tied together with stronger balance sheet of reinsurance companies as the economies improve, tied together with centralized buying. All indication are that on the prices -- getting establish throughout that are upwards, we've seen that as a result of the cat pressure the reinsurers have become more flexible on the offerings that they're providing around other lines of business they sort of overlap. So it would indicate that there is no pressure to push prices up at this moment. 
Daniel S. Glaser: Okay. I think we have time for one more question please. 
Operator: Paul Newsome Sandler O'Neil. 
J. Paul Newsome - Sandler O'Neill + Partners, L.P.: Thank you. And congratulations on the quarter. Just a quick one. On the exchanges does the announcements that allow these insurance companies are going to lose money on their exchanges impact your position in that business in anyway?
Daniel S. Glaser: Julio?
Julio A. Portalatin: Yeah, there is -- one thing that you can count on is there is going to continue to be evolving changes that how ACA is going to impact both our clients and carriers. And that's why I think anyone thing is difficult to point to as far as where the impact is going to be. As an example we all know that just announced that there is going to be some changes to the mandate for medium size companies 15 to 99 employees will have the next year now through 16 while large companies 99 plus will have to also coverage up to 70% of the employees instead of 95 which was prior to that. And that's continuing to change. So when you think about carriers that was always an assessment that was made earlier on as far as what carrier rate should be on exchanges, on public exchanges we're talking about now as opposed to private exchanges, much difference, two different sets of discussions, on the public exchanges and the assumption that you would get an adequate distribution of risk and that distribution of risk has not materialized. So whether or not it was in public exchange or just regulatory medical when distribution of risk has not materialized yet to review your rate levels you have to make decisions as what the right rates will be next year. And so the impact will be what it is, whatever that impact is as a result of those changes distributions between expected and reality. 
Daniel S. Glaser: So I think just to some it up the core point is there is a huge difference between public and private exchanges in the Mercer marketplace which is a private exchange carrier and know who their customers are going to be and can rate them appropriately and so the private -- a lot of the things that you are reading from insurance companies losing money on exchanges is their comments with regard to the public exchanges. 
Julio A. Portalatin: That's right. And then if I just can add one more thing also on the private exchanges keep in mind the Mercer marketplace in particular offers both a fully insured and self-insured option which means it's wide open for people to consider private exchange Mercer marketplace as an option. 
Daniel S. Glaser: Okay. Does that answer your question, Paul? 
J. Paul Newsome - Sandler O'Neill + Partners, L.P.: It did indeed, thank you. 
Daniel S. Glaser: Okay. Thank you. Okay. So I would like to thank everyone for joining us on the call this morning. We look forward to seeing you at our Investor Day which will be held on March 11th as Mike mentioned at the Pierre Hotel in New York. We will provide more insight into MMC's growth and financial strategies, including presentations from the CEOs of each operating company. Finally I would like to thank our clients for their support and our colleagues for their hard work and dedication in serving them. Have a good day.
Operator: That concludes today's conference. Thank you for your participation.